Operator: Good day and welcome to the InterDigital Fourth Quarter Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Patrick Van de Wille. Please go ahead sir.
Patrick Van de Wille: Good evening everyone and welcome to InterDigital’s fourth quarter and full-year 2012 earnings conference call. With me this evening are Bill Merritt, our President and CEO and Rich Brezski, our CFO. Consistent with our previous quarterly calls, we will offer some highlights about the quarter, fiscal 2012 and the company will then open up the call for questions. Before we begin our remarks, I need to remind you that in this call we will make forward-looking statements regarding our current beliefs, plans and expectations, which are not guarantees of future performance and are subject to risks and uncertainties that could cause actual results and events to differ materially from results and events contemplated by such forward-looking statements. These risks and uncertainties include those set forth in our earnings release published today as well as those detailed in our annual report on Form 10-K for the year ended December 31, 2011 and from time-to-time in our other filings with the Securities and Exchange Commission. These forward-looking statements are made only as of the date hereof and as except as required by law, we undertake no obligation to update or revise any of them, whether as a result of new information, future events or otherwise. And with that, I will turn the call over to Rich Brezski, Chief Financial Officer.
Rich Brezski: Thank you, Patrick. As a result of strong activity at the end of the year, we closed fourth quarter with nearly $88 million in revenue and fully diluted earnings per share of $0.38. Our revenue included $23.7 million of past sales and our operating expenses included a $12.5 million repositioning charge related to the early retirement program we announced during the quarter. We expect to record a related repositioning charge of $1 million to $2 million in first quarter of 2013. We expect our new agreements including a renewed and expanded agreement with BlackBerry, new relationships with Sony and an expansion of our agreement with Quanta will make recurring contributions to revenue in future quarters. Given that, we expect our first quarter 2013 revenue will be approximately $46 million to $47 million, comprised almost entirely of patent licensing revenue. As is typically the case, our guidance is based on royalty reports received to-date and does not include the potential impact of any new patent licenses, technology solution agreements or patent sales that maybe completed or any arbitration decisions that maybe received during the balance of first quarter 2013. In fourth quarter 2012, our operating expenses included over $13 million of intellectual property enforcement costs. We know that this activity continues at a high level as we begin 2013, including the current ITC action against Nokia, Huawei, and ZTE, the remand of our prior ITC action against Nokia following our successful appeal of the related decision. A new ITC action filed against Samsung, Nokia, Huawei and ZTE in January 2013 and additional matters both related and unrelated to these ITC actions. The commission has agreed to open an investigation based on our ITC complaint filed in January 2013, and has set a target date for a final decision in the matter of June, 2014. We continue to believe that enforcing our intellectual property rights against those that are unwilling to pay a fair royalty is among our most important investments and our greatest responsibilities. We expect our intellectual property enforcement costs will increase in the first quarter and remain high throughout 2013 inline with the licensing opportunities we perceive. Moving on to development expenses, we have maintained our $50 million annual target for internally funded development expense that we discussed last quarter. We currently expect to invest an additional $10 million to $15 million towards customer-related technology solution projects in 2013 including a development project for Convida Wireless, a joint venture we recently established with Sony. Although, we do not provide expense guidance, we expect our first quarter 2013 operating expenses excluding intellectual property enforcement costs and repositioning charges will be somewhat consistent with fourth quarter 2012 levels. This expectation reflects both savings from our voluntary retirement program and seasonal items typical for the first quarter, including higher fringe rates and trade show costs. As a final comment, in recognition of our strong financial position and expected future cash flows, we returned $69.7 million to shareholders during fourth quarter 2012 through regular and special dividends. Combined with share repurchases, we returned over $235 million to shareholders during the year. And now, I’ll turn the call over to Bill.
Bill Merritt : Thanks Rich and good evening everyone. As you saw in the press release today, company delivered an outstanding fourth quarter and full-year as measured from every perspective. Our strategy was sound, our execution was spot-on and our results were excellent. Let’s review the year and where we are headed this year. As you know, we began 2012 by expanding our strategy to include patent sales in addition to our core business of patent licensing. The logic was simple, patent assets were hot, the market for patent sales had matured to a point where we believe sales could be a continuing business and our portfolio had a size and growth rate that convinced us that we could sell patents without having any impact to our licensing program. That move was very timely and we went to execute on it rapidly closing two patent sales transactions totaling more than $384 million in revenue and also building a pipeline of other opportunities. In 2012, we also set a longer-term revenue target for the company of $800 million in sustainable annual revenue from our core terminal unit licensing business. That was the first time we had set out our revenue vision reflecting the maturity and strength of our licensing business and the confidence in the Board and management to get there. During the year, we made good progress in signing agreements that will help drive us toward that goal. In fact, nine new, renewed or expanded license agreements we signed in 2012 matches the most we’ve signed in any single year. The licensees included Sony and BlackBerry; all the agreements extended to LTE and all the agreements were on terms that were consistent with our licensing goal of $800 million in revenue and we continue to add excellent traction in the market on new agreements. That said and despite our success in signing licensees we also know how challenging that process can be. So in 2012 and early 2013 we took additional steps to protect our intellectual property, again with very good success. We prevailed in our Federal Circuit Appeal with Nokia on an ITC case that is now back at the International Trade Commission. There we are encourage by the position of the ITC Office of Unfair Import Investigations Staff that the case should not be remained at back to ALJ, but instead should be decided finally by the Commission after briefing based on the existing evidentiary record. In 2012, we also completed discovery on a second ITC case involving Nokia, ZTE and Huawei 3G products with the evidentiary hearing on that case being held over the last two weeks. As we noted in the press release last week, we remain very confident in our position and believe we should prevail. We also commenced another ITC action in January 2013 involving Samsung, Nokia, Huawei and ZTE and including both 3G and LTE products. We were encouraged by the case schedule step for that investigation with a final commission decision set for June of next year. As I mentioned however, litigation is not our preferred tax to license agreements or to our goal for sustainable revenue. Instead, we prefer to reach negotiated resolutions of our licensing dispute. In addition, we believe very strongly in the benefits of collaboration. As we highlighted in the fall of 2012, we expanded our strategy for the second time in 12 months. That strategy involved enhancing our ability to work more directly with perspective licensees in more lasting and creative relationships through a newly formed group called InterDigital Solutions. And also expanding the innovations created by the company with the addition of innovation partners. As to this (inaudible) we are off to a quick start entering into a multi-faceted relationship with Sony at the end of last year. That agreement comprised a patent of license agreement covering 3G and 4G products, a transfer of patent assets from Sony to InterDigital and a joint venture in collaborative research and development arrangements involving machine-to-machine technology, an area where InterDigital has been doing a significant amount of pioneering work. All those agreements are in place and the R&D effort has begun. The Sony agreement can be a model for relationships going forward. Sure, we will continue to sign straight up patent license agreements as we did with Blackberry at the end of last year. Those agreements provide licenses with significant value giving them the right to use the thousands of inventions in the 20,000 patent and patent applications held by the company. The Sony agreement does more both for the licensee and for InterDigital. Under the Sony agreement, Sony not only gains access to our inventions but also the source of those inventions, our research labs and the engineers working in those labs. In collaboration with Sony, those engineers will continue to drive the development of the unified service platform from machine-to-machine services. With the fruits of their work becoming part of the joint venture held by Sony, InterDigital and Stevens Capital Partners. InterDigital gets more too. In addition to the cash compensation, we benefit from the cooperation of a strong market partner. We also benefit from Sony’s R&D capabilities through our access to patents developed within Sony. For us most important, both parties achieved this result without needing to litigate. Instead, we worked creatively, cooperatively and profitability together. This is aggressive fresh air in market where litigation has unfortunately become increasingly common. So InterDigital Solutions is an important part of our strategy to reach our revenue goal. Again, we do not expect every perspective licensee will want a more comprehensive relationship. Some may however and by advancing the technologies we have to offer from InterDigital Solutions, we may find more and more opportunities to bridge the gap in patent licensing discussions and get cooperative created relationships in place that leverage not only the strength of our patent portfolio but also our tremendous research and development capability. Of course, the Solutions Group will not be limited to working with just perspective patent licensees. The Group is also working today with other perspective customers that maybe interested in our smart access manager solution, our dynamic spectrum management solution and our growing suite of compression and video streaming techniques where we have leveraged our unique wireless skills. So look to this Group in 2013 not only it’s a work with our perspective patent licensees but to begin to build an independent book of business. Of course, the success of InterDigital Solutions and of our patent licensing group drive off the great success we've had as a company in developing the inventions that underpin today's wireless devices. And with realignment we made within our innovation group last year, we expect that we will not only continue to produce a great quantity of intellectual property but that the diversity and value of that intellectual property will grow significantly. The anchor tenant in our innovation effort will continue to be innovation labs, our core internal research and development capability. At the end of last year, we restructured the lamps, essentially reducing the self-funded components modestly but encouraging through InterDigital Solutions the use of our R&D capability and strategic engineering relationships. The message to our internal team is very clear. We're committed to funding leading edge research but after an appropriate amount of time, we also need to get customer engagement to take the research further. The response was solid with engagement with Sony and other opportunities in pipeline. So while the self-funded portion of that group’s effort will be down some from last year as a result of the restructuring, the overall level of funding into the lab will increase year-over-year based on the external funding relationships that we expect our internal invention production to keep pace with last year. I think it's also a good time to acknowledge again how accurate innovation lab had been in predicting and leading change in the wireless industry. A well accepted part of the InterDigital story is how we're among the first to embrace digital as a successor to analog services. And we're among the first to understand that it’s not going about voice but about data and a lot of it going over the airways. Those led to our success with TDMA, CDMA and LTE technologies. The latest round of innovation is further testament to the visionary nature of our R&D. Almost five years ago, we begun our work on the network of networks and the internet of things. Incubating technology like policy based wireless access management, dynamic access of unlicensed spectrum and a standard base machine-to-machine service platform. Today those technologies are not only real but moving into deployment and towards standardization. We expect 2013 to be another strong year for the company to build upon its strong technology heritage. This year will be a bit different as we bring up a new component of our innovation strategy namely innovation partners, a mostly focused group innovation partners to make targeted investments and or partner with prolific inventors, small companies and universities to create new innovations that will drive the next generation of wireless services. InterDigital’s approach will be unique. There are companies that buy patents from inventors. There are companies that engage inventors for strategic inventing generally meaning that the progress goes no further than a patent application while we can and may do either of those from time-to-time. Our preference will be look to more long-term relationships in a few key technology areas. The purpose of which is both create intellectual property that is useful to our patent licensing efforts and also pursue research to a solution that can be commercialized through InterDigital Solutions. We feel that for inventors and small companies, our commitment to long-term success of their work can be a significant differentiator and they are choosing to work with InterDigital rather than others. The Group is up and running and will be a (inaudible) Mobile World Congress next week meeting with prospects as well InterDigital Solutions. All of which makes me the most excited I had been in my 17 years with the company. I appreciate we have much to do. We are also very motivated by our sense of how valuable this business can be if we can do what we had set out to do. Hopefully, our performances in 2012 have demonstrated that we are committed to delivering on our promises. With that, let me hand it back to Patrick.
Patrick Van de Wille: Thank you, Bill. As usual we will open the call to questions but before we do so I would like to make a note. As most of you know the company is at the present moment involved in evidentiary hearings and filings at the United States International Trade Commission in two matters one relating to Nokia and the other relating to Huawei, Nokia and ZTE. Given those matters coincide directly with this call; we won't be in the position to provide any additional details or impressions related to those issues this evening. Thanks and if we can open the call for questions, please.
Operator: (Operator Instructions) Our first question comes from Anil Doradla [William Blair & Company, LLC]. Please go ahead.
Anil Doradla - William Blair & Company, LLC: Hey, guys, I had a couple of questions. My first question was around this new license deal that you guys signed in December, can you give some more color around it as to whether that contributed in your March quarter guidance, whether this is a fixed cost per royalty and I had a follow-up?
Rich Brezski: Yes, sure, the agreements that we signed in the fourth quarter, the contribution to the fourth quarter results was primarily in past sales but they have been included in our first quarter guidance.
Anil Doradla - William Blair & Company, LLC: And on a go forward is it a fixed revenue stream or is it to be per unit royalty based structure?
Rich Brezski: We signed a couple of agreements in the fourth quarter and they had varying structures but we will have some more information on that in our 10-K which we will be filing next week.
Anil Doradla - William Blair & Company, LLC: And a follow-up on, a lot of stuff is going around on your balance sheet, accounts receivable went up, that your PP&E also went up, but cash came down, can you help us understand what were the moving parts both on accounts receivables and your cash along with your PP&E? Thanks.
Rich Brezski: Sure, so we started out the quarter with $780 million in cash. We then had free cash flow of in the neighborhood of $130 million outflow, but the vast majority of that related to a tax payment for the most part that was driven by Intel, although that transaction closed earlier in the year. The tax bill so to speak came due in the fourth quarter. In addition we had our special dividend, the payment of our regular dividend announced in the third quarter and then the payment of our fourth quarter regular dividend we accelerated that payment from January into December. So all told that was about $70 million in outflows and that brought us to a year end cash balance of $577 million. With respect to the accounts receivables, that was up to about $170 million by the end of the year and that does reflect amounts now due under new agreements either pre-payments due under those agreements or fixed payments. But it is limited to amounts due within 12 months. So it’s a $170 million in accounts receivables. I will tell you that there's a total of $120 million or a little over that, that's not reflected in accounts receivables, because it’s due in future periods. Some of that existed prior to the fourth quarter and some of that was added on in the fourth quarter.
Operator: We'll go next to Tim Quillin [Stephens Inc.]
Tim Quillin - Stephens Inc. : It sounds like maybe you’ll ask me to wait for the 10K but I'm hopeful that you can tell me which of your new agreements in the quarter contributed to the increase in deferred revenue.
Rich Brezski: Yeah, so the increase in deferred revenue for the most part is a reflection of the increase to the accounts receivables. So when we book these new agreements to the extent that we receive cash or if we haven't yet received the cash in these cases, we book the receivables, the corresponding entry as an increase to deferred revenue. As to which agreements contributed to those increases I'm afraid I'm going to have to ask you to wait till we file the 10K next week.
Tim Quillin - Stephens Inc. : And is it fair to think that the deferred revenue is primarily going to be on a fixed fee arrangement or would you expect to see some kind of bump up in deferred revenue on a per unit royalty arrangement as well.
Rich Brezski: Yeah, so a prepayment on a per unit deal will increase per unit revenue as will amounts due under fixed payment agreements and we had both labors in the fourth quarter.
Tim Quillin - Stephens Inc. : So there was a prepayment on the per unit agreement, got it. And…
Rich Brezski: Just to be clear Tim, we didn't receive the prepayment by the end of the year so that was recorded in accounts receivables.
Tim Quillin - Stephens Inc. : Okay, and would it be possible for you to give us a breakdown of the 1Q guidance in terms of what is per unit and what is fixed fee.
Rich Brezski: We usually don't get into that level of detail on guidance. What we did want to get across is that it’s predominantly almost entirely based on [path] licensing revenue, but of course there's opportunities to close additional deals throughout the quarter so as always is the case.
Tim Quillin - Stephens Inc. : Is there any tail of revenue from the expiring Samsung agreement that spills in to the first quarter?
Rich Brezski: No, that's fully recognized by December 31.
Tim Quillin - Stephens Inc. : Okay, in terms of the operating expenses, just so I understand what you are saying in terms of staying at 4Q levels, it looks like you are now recurring and excluding litigation cost, but which of those should come down? The development cost I was thinking would come down materially in 2013 versus 2012. Is that true? Is it just a little bit more of a timing issue?
Rich Brezski: Yes, so the development cost as we discussed in our opening comments, we set an internally funded development target of $50 million, but as a result of our joint venture with Convida and our expectation to perhaps do some additional things in the tech solutions side over the course of the year, we're expecting $10 million to $15 million of additional development cost related to those customer related agreements. And one quick clarification on Samsung. You asked whether or not there was a tail. It's a good question because sometime there is. The reason there isn’t for Samsung because it’s a fixed price deal which was amortized over the term of the agreement where you would expect the tail would be when receiving revenue on a per unit basis and I don’t need to (inaudible) reporting lag where for instance in the first quarter, we're reporting revenues based on our licenses fourth quarter sales.
Tim Quillin - Stephens Inc. : Okay, fair and then just two last questions. One is what kind of tax rate do you expect in 2013 and how does the R&D tax credit plan to that? And then second is do you have any expectations in terms of patent sales in 2013?
Rich Brezski: Yes. So with respect to the tax rate typically we run 35.5 and then from time to time we have some discreet items that flow through in the fourth quarter we did at the recognition of some deferred tax benefits and we previously had an allowance against that brought our rate down. But on the whole I think 35.5 is a good figure to use for any future period. With respect to patent sales, it continues to be part of our business and just another means to monetize our patent portfolio. But beyond that we are not setting any expectations or providing any guidance on patent sales.
Operator: Thank you. (Operator Instructions) We will go next to Charlie Anderson [Dougherty & Company LLC]. Please go ahead.
Charlie Anderson - Dougherty & Company LLC: I just want to be clear on the guidance in Q1, you say its covering patent royalties but I wonder does past sales included it self in that broad definition that include past sales as well or is this your sort of run rate now of recurring patent royalties.
Rich Brezski: Yeah, so if we generally use the term patent licensing revenues that would include past sales, but I will tell you this is predominantly recurring.
Charlie Anderson - Dougherty & Company LLC: Okay, so can you give any specificity to how much is past sales embedded in that guidance?
Rich Brezski: Again we don’t really get into that level of details for our guidance, but I will tell you that most of it this is recurring.
Charlie Anderson - Dougherty & Company LLC: So just keep on with Rich and you can take a break there Bill. I noticed it looks like maybe payable spike to is that related to the $10 million to $15 million that extra R&D last year?
Rich Brezski: I am sorry, Charlie I didn't catch that.
Charlie Anderson - Dougherty & Company LLC: Looks like maybe a payable spike too on the balance sheet?
Rich Brezski: Yes, so apart have to do with our competition plans it’s a not just a account payables but its other amounts that come do including some good compensation, that part of it. You also and sometimes now realize, you are probably looking at a year-over-year comparison but it’s not unusual for payables to build up at the end of the year. But the other piece of that is we have been running pretty high on litigation, so that is certainly contributing to the payable increase.
Charlie Anderson - Dougherty & Company LLC: Yeah, you had a contingency I notice I wonder if you could expand on why you have that contingency litigation expense in the quarter.
Rich Brezski: Yes, so we recognized a $3.2 million litigation contingency and that just result from a matter out of China where we potentially have to reimburse some legal fees.
Charlie Anderson - Dougherty & Company LLC: Got it, and then on this $10 million to $15 million extra, do you need sort of one-time project based, or is that more like an ongoing type edition to your R&D budget?
Rich Brezski: Our relationship with Convida expands beyond 2013, so I think for the time being you can think about it as ongoing.
Charlie Anderson - Dougherty & Company LLC: Got it. This is a bear question for Bill I suppose to bring you in. You guys signed a lot of deals end of the quarter and then Q1 and it was also sort of timed around when you file this latest case. I wonder should we expect that activities are relaxed a little bit because there is quite a bit of activity around the end of the year, just in terms of signing new licensees or do you feel like you got a pipeline that's forming with some of these new type agreements that you are working on?
Bill Merritt: No, at this point John I think the pipeline is pretty solid and I think the end of the year thing was more coincidence other than planning right, I think if the things came to add at the end of the year so the patent licensing guys are on the road on a consistent basis and they got lot of stuff in the pipeline and then they've got some good goals for the year in terms of the agreements we want them to drive.
Charlie Anderson - Dougherty & Company LLC: You were asked also about selling patents, I wonder about buying patents, because that's something you talked about in the past as well. Where are you guys in terms of that?
Bill Merritt: So we have a good internal process there and we closed a few deals last year which helped begin to add some additional diversity portfolio into the portfolio. Other deals that we are working on today you know I'd say that the markets are patent has settled down a little bit and pricing is making a little bit more sense. It was a little bit crazy there for us. So I think it’s a really good opportunity and for us its not just buying patents but I think the unique thing that we can do and you can take yourself out of bidding process is if you do swaps, so you assign somebody that's got a portfolio that's rich with a certain type of intellectual property, but they may need something we have and you do a swap. And that becomes a nice direct one-on-one transaction and it takes out any sort of option environment. So we are definitely looking at those types of transactions too.
Operator: Thank you. We will go next to Ron Shuttleworth [M Partners]. Please go ahead.
Ron Shuttleworth - M Partners: I just wanted to maybe follow-up on what you were saying earlier Bill about sort of the demand for patents. I know that you've got a batch of patents that are currently sort of in the market or you are planning on selling, are you seeing some, are you seeing any softness in the value of those patents compared to say for example your last batch that you sold?
Bill Merritt: No, I think I mean it was a lot of supply that came on the market last year, so we did a great job of getting two transactions out of the door, very strong transactions, other things came on the market in the second half of the year and we have a very good pipeline but I'll tell you we'll be a little bit more patient because I think we have a pretty good feel for the value of what we are selling and we've got some good engagements with folks right now. So Rich is right we are not going to set a specific number of deals that we would like to do this year but we are committed to patent sales being a continuing part of the business. So I think the pipeline we have has put that and we are structuring the business internally to allow that to be the case too.
Ron Shuttleworth - M Partners: Now, the guidance for Q1 $46 million to $47 million, is that correct?
Bill Merritt: Yes, that's correct.
Ron Shuttleworth - M Partners: And that is basically forward recognized recurring revenue from Q4, I understand that. Now, the deals that you signed at the end, that you announced at the beginning of Q1, were any of those revenues recognized in Q4?
Bill Merritt: So of the new deals, the primary contribution to Q4 came through past recognition of past sales and in the first quarter that does reflect the revenue from the new deals. To the extent there was fixed price agreement as we said before there is not a need to lag the revenue. You know, what it’s going to be over the term of the agreement. So you amortize that in.
Ron Shuttleworth - M Partners: Okay, alright. So, whatever deals you signed that was fixed will be recognized in this 46 to 47 in line with Q1, meaning you recognize it in Q1. So you recognize it the same quarter that you book it correct?
Rich Brezski: I will say it just a little differently. To the extent the fixed price deal, we recognize our revenue in the same period in which the underlying sales occur.
Ron Shuttleworth - M Partners: Right, and on your per unit licensing, you lag at one quarter.
Rich Brezski: That’s correct.
Ron Shuttleworth - M Partners: So just ask question. More assuming that in Q1 most of the revenue from Blackberry and Sony won't be - you won't see that until Q2, correct?
Rich Brezski: To the extent without making comments about the specific licensees, to the extent that it's a fixed price deal, then you see that in Q1 for the reasons we discussed. To the extent, I will tell you that one of the deals was the renewal, the per unit deals of renewal and as a result there is, the Q4 revenue, or the underlying sales from Q4 from that license would have been reported in Q1 in anyway and absent a renewal, there would have been no revenue in Q2 but because of the renewal, we will continue to recognize revenue throughout the year
Ron Shuttleworth - M Partners: Okay, that clarifies it for me. That's great. And then as it relates to your current situation with the SlimChip deferred revenue recognition is around $44 million now is that correct?
Rich Brezski: That’s right.
Ron Shuttleworth - M Partners: Now I was under the impression I just wanted to make sure I am clear on this in the last conference call that, now you are looking at timing wise probably in Q1 ‘13 getting this resolved. Is that kind of a same timing you are looking at now as compared to last quarter?
Rich Brezski: Yeah we are waiting for a decision.
Ron Shuttleworth - M Partners: Alright, and in terms of the resolution is there any chance that all of that deferred revenue would go away or it would be some sort of negotiated component of that?
Rich Brezski: There is always a possibility that you are reaching a negotiated resolution, but I think we are in a position that there could be a decision literally any day and that there is certainly a potential that if at all were in our favor that we have at least tried deferred revenue in to revenue.
Ron Shuttleworth - M Partners: Alright and I know you can’t comment on specificity whatever I am trying to say there, very hard word to say. But specifics on that, can you give us some may be direction on what you think is going? Are you comfortable this is going to happen in your favor or are there some risks there?
Bill Merritt: I think pretty comfortable with our case and so I think that while there is always a risk that things don’t go the way you think they should go, I think we are pretty comfortable in our position but I’d also tell you it’s not a digital result it’s not a zero or a 44 million it can be anywhere in between, but we are pretty confident in our position in the case. As Rich said we are waiting for a decision. So the fact that we think it would happen in first quarter is really just based upon our experience with arbitration and how long they take to decide, it could happen this quarter, it could happen next quarter, there is no define by which the panel has to decide.
Ron Shuttleworth - M Partners: Okay, and the last question is just around future reporting. You mentioned obviously innovation partners, innovation solution, innovation labs, are you looking at reporting revenue and expenses that couldn’t separate P&L or reporting recognizing the revenue in separate line items in your future report?
Rich Brezski: Yeah, we’ll continue to evaluate whether or not segment reporting is required, but at this point that’s not the case that could change overtime.
Ron Shuttleworth - M Partners: Okay, and do you expect the margins on those to be reflected in typical sort of software licensing margins right, as oppose to patent margins, and do you expect we should see some margin compression in those revenue?
Rich Brezski: You know there is a number of different ways that tech solutions can address the market, and I think there is varying degree of what the margins would be depending on whether it’s a tech transfer or an engineering services deal.
Operator: Thank you. (Operator Instructions) We will go next to Danielle (inaudible). Please go ahead.
Unidentified Analyst: You mentioned a contingent fee for a China case and we recently saw while I mention that a Chinese courts (inaudible) for your declared essential Chinese patents, is that the same case and can you comment on what that rate is or give any additional information as to what's going on there.
Bill Merritt: Yeah, so the contingency is related to one of the Chinese action as you know while we've filed a number of actions around the world, with respect to the dispute between us. So it involves one of those and as Rich said that involves this reimbursement of attorney’s fees. But other than that that could be actually the decision itself is confidential because there's nothing further we can report on that decision.
Operator: We will go next to a follow-up from Charlie Anderson [Dougherty & Company LLC.]
Charlie Anderson - Dougherty & Company LLC: Yeah, just sort of a dumb question, I'm curious why we are waiting for the 10K for all the added detail on the new licensees.
Rich Brezski: Yeah, Charlie, just we are limited to what we can say by confidentiality provisions within our certain agreements. So if there's some information we just rather get out in the 10K because we are required to rather than discuss it in the call here, prior to it being public for other reasons.
Charlie Anderson - Dougherty & Company LLC: And is some of this increase in deferred revenue in the past royalty [life], is it any of it coming from a licensee that you have not publicly announced.
Rich Brezski: I think we announced all the deals in the fourth quarter that made significant contributions to those lines.
Charlie Anderson - Dougherty & Company LLC: And then the one thing I noticed was that just sort of seasonally the per unit royalty revenue was a lot stronger this year than last year and I wonder if that was, there's any specific reason for that, did you get any sort of new revenue that you didn't have a year ago or is this from your traditional licensees providing that strength sequentially.
Rich Brezski: No I don't think there's anything that I can highlight for you there.
Charlie Anderson - Dougherty & Company LLC: And then I also wonder are we going to see embedded in the guidance in Q1, is there a partial quarter from anybody in terms of new licensees, meaning you are not getting your typical full bite, like on a per unit basis for example.
Rich Brezski: No.
Operator: It appears we have no further questions at this time. I'll turn it back to our speakers for any closing remarks.
Patrick Van de Wille: Thanks everybody for joining us this evening and looking forward to meeting you again, meeting some of you at Mobile World Congress in Barcelona and having a repeat of this call well later on next quarter. Thank you all for joining us.